Operator: Hello, and thank you for standing by. My name is Bella, and I will be your conference operator today. At this time, I would like to welcome everyone to Garmin Ltd. Third Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Teri Seck, Director of Investor Relations. You may begin.
Teri Seck: Good morning. We would like to welcome you to Garmin Limited's Third Quarter 2025 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, segment growth rates, earnings, gross margins, operating margins, future dividends or share repurchases, market shares, product introductions, foreign currency, tariff impacts, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K and Form 10-Q filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Clifton Pemble: Thank you, Teri, and good morning, everyone. As announced earlier today, Garmin achieved another quarter of outstanding financial results, reflecting the strength of our unique, highly diversified business model. Consolidated revenue increased 12% to nearly $1.8 billion, which is a new third quarter record, and we experienced strong double-digit revenue growth in three of our business segments. These results are even more remarkable, considering the strong comparison from last year when consolidated revenue increased over 24%. Gross and operating margins were 59.1% and 25.8%, respectively, resulting in record third quarter operating income of $457 million, up 4% year-over-year and pro forma EPS of $1.99. We are pleased with our results so far in 2025, and we are on track to achieve full year revenue of $7.1 billion as communicated in July. Given our strong year-to-date performance and outlook for the remainder of the year, we are raising our full year EPS guidance. We now anticipate pro forma EPS of $8.15 a share, reflecting in an increase of $0.15 over the prior guidance. In a moment, I will cover changes to the segment revenue model that is the foundation for our consolidated guidance. But it's important to remember that the segment model is simply a point-in-time guideline that evolves based on trends throughout the year. With the majority of 2025 behind us, and the momentum we are experiencing entering the important Q4 holiday season, we anticipate delivering another record year of double-digit growth in revenue, operating income and EPS. Doug will discuss our financial results and outlook in greater detail in a few minutes, but first, I'll provide a few remarks on the performance and outlook for each business segment. Starting with Fitness. Revenue increased 30% to $601 million, with growth led by strong demand for advanced wearables. Our performance can be attributed to the breadth and depth of our wearable product lines, which offer highly differentiated features across many different price points. Gross and operating margins were 60% and 32%, respectively, resulting in operating income of $194 million. During the quarter, we launched several new products, including the Edge 550 and 850 cycling computers that bring new coaching plans and cycling metrics to the Edge lineup, the Bounce 2 smartwatch for kids offering voice calling, messaging and geo-fencing alerts and the Venu 4 smartwatch with a premium all metal design, a built-in flashlight and many new health and wellness features. We also announced our collaboration with King's College London to study the health of women and their partners during and after pregnancy with an emphasis on detecting and managing potentially dangerous conditions such as gestational diabetes and hypertension. Garmin is the exclusive partner of King's College London for this study, which is one of the largest of its kind to incorporate wearables into study protocols and results. Given the strong performance of the Fitness segment and the demand we are expecting during the holiday season, we are raising our revenue growth estimate to 29% for the year. Moving to Outdoor. Revenue decreased 5% to $498 million, driven primarily by consumer auto and adventure watches following the 1 year anniversary of the dezl series launch as well as the highly successful fenix 8 launch. Gross and operating margins were 66% and 34%, respectively, resulting in operating income of $170 million. During the quarter, we launched the fenix 8 Pro, which adds satellite and cellular connections and offers a range of communications options, including voice, text, live tracking and SOS using the Garmin Response Center, making this smartwatch the ideal companion for adventures on and off the grid. In addition, the fenix 8 Pro lineup now includes a version with a microLED display. MicroLED has been highly sought after for its superior brightness and the ability and the fenix 8 Pro is the first device of its kind to offer this exciting new display technology. I'm proud of our global team who worked very hard to bring microLED technology to the wearable market. Also during the quarter, we entered a new market with the launch of our Blaze equine wellness system designed to help horse riders, owners and trainers monitor their horses' health and fitness levels. We are pleased with the performance of the Outdoor segment, but delivering back-to-back years of double-digit revenue growth has been more challenging than originally anticipated, following the 1-year anniversary of the highly successful product launches in this segment, most notably the fenix 8. The recent launch of the fenix 8 Pro partially offset pipeline fills from the previous year, but did not fully close the gap when compared to the fenix 8 launch. As it has in the past, product release cycles can create short-term noise, but in the long-term view, the Outdoor segment has been a remarkable performer and has a remarkable track record of growth. Considering our year-to-date performance and outlook for the fourth quarter, we now expect Outdoor revenue to increase 3% for the year. Looking next at Aviation, revenue increased 18% in the third quarter to $240 million, with growth contributions from both OEM and aftermarket product categories. Gross and operating margins were 75% and 25%, respectively, resulting in operating income of $61 million. During the quarter, we certified a retrofit integrated cockpit system for the Cessna Citation CJ1, which brings new capabilities and safety-enhancing technologies to this popular light jet. We also added Autoland and Autothrottle capability to the King Air 350, which is the largest and most complex aircraft to receive Autoland capability to date. And we announced additional certifications for our GFC 600 autopilot bringing the performance and safety enhancing benefits of our flight control technology to more aircraft models. Given the strong third quarter performance of the Aviation segment and recent trends, we are raising our revenue growth estimate to 10% for the year. Turning to the Marine segment. Revenue increased 20% to $267 million, with growth across multiple categories, including chartplotters, audio and cartography. Gross and operating margins expanded to 56% and 19%, respectively, resulting in operating income of $49 million. During the quarter, we expanded our trolling motor product lines with the Force Current, which is the industry's first hands-free Kayak propulsion system, and we expanded the Force Kraken lineup, which now includes a model with a 110-inch drive shaft for large fishing boats. We also launched the ECHOMAP Ultra 2 chartplotter offering a large 16-inch display, premium mapping and exceptional sonar capabilities. We were recently recognized by the National Marine Electronics Association as Manufacturer of the Year for the 11th consecutive year, and we received 8 Product of Excellence awards ranging from chartplotters to marine smartwatches, reflecting the strength and diversity of our product lineup. Given the strong third quarter performance of the Marine segment and recent trends, we are raising our revenue growth estimate to 10% for the year. And moving finally to the Auto OEM segment, revenue decreased 2% to $165 million as certain legacy programs approach end of life and were partially offset by growth in our most recent BMW domain controller program. Gross margin was 15% and was negatively impacted by an increase in accrued warranty costs associated with prior period sales, which contributed to the operating loss of $17 million. During the quarter, we shipped the 3 millionth BMW domain controller, demonstrating our capability as a respected Tier 1 supplier to the automotive market. We continue to achieve important milestones leading up to the launch of our next large auto OEM program, which is anticipated to add significant production volumes and expand the scale of our business. Given the year-to-date performance and recent trends, we now expect Auto OEM revenue to increase approximately 8% for the year. That concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Douglas Boessen: Thanks, Cliff. Good morning, everyone. I'll begin by reviewing our third quarter financial results and provide comments on the balance sheet, cash flow statement, taxes, updated guidance. Posted revenue of $1.77 billion for the third quarter, representing a 12% increase year-over-year. Gross margin was 59.1%, a 90 basis point decrease from the prior quarter. The decrease was primarily due to higher product costs. Operating expense as a percentage of sales was 33.3%, a 90 basis point increase. Operating income was $457 million, a 4% increase. Operating margin was 25.8% 180 basis point decrease compared to prior year quarter. Our GAAP EPS was $2.08, and pro forma EPS was $1.99. Next, we look at our third quarter revenue by segment and geography. In the third quarter, we achieved double-digit growth in 3 of our 5 segments, led by the Fitness segment with outstanding growth of 30%, followed by Marine segment growth of 20%, Aviation segment growth of 18%. By geography, we achieved double growth in all 3 of our regions, led by 14% growth in APAC, followed by 13% growth in EMEA and 10% growth in Americas. Looking at operating expenses. Third quarter operating expense increased by $76 million or 15%. Research and development increased by $37 million, SG&A increased by $38 million. Both increases were primarily due to personnel-related expenses. A few highlights on the balance sheet, cash flow statement, taxes. We ended the quarter with cash and marketable securities of approximately $3.9 billion. Accounts receivables increased year-over-year to approximately $956 million following the strong sales in the third quarter. Inventory increased year-over-year sequentially to approximately $1.9 billion. We're executing our strategy to increase inventory of certain product lines to support strong customer demand as well as mitigate the effects of potential increases in tariffs. For the third quarter of 2025, we generated free cash flow of $425 million, a $206 million increase on prior year quarter. Capital expenditures for the third quarter of 2025 were $60 million, which is $22 million higher than the prior quarter. We expect full year 2025 free cash flow to be approximately $1.3 billion with capital expenditures of approximately $275 million. During the third quarter of 2025, we paid dividends of $173 million, purchased $36 million of company stock. At quarter end, we had approximately $107 million remaining in the share repurchase program, which is authorized through December 2026. We had an effective tax rate of 21.2% compared to 17.9% in the prior year quarter. Increase in effective tax rate was primarily due to the new U.S. tax legislation enacted during the quarter, which changed capitalization requirements of certain R&D costs resulting in a year-to-date adjustment due to a decrease in certain U.S. tax deductions and credits. Turning next to our full year guidance. We estimate revenue of approximately $7.1 billion and gross margin of approximately 58.5%, both of which are consistent with our previous guidance. We now expect our operating margin to be approximately 25.2%, which is higher than our previous guidance of 24.8% due to lower operating expenses. Also, we expect a pro forma effective tax rate to approximately 17.5%, consistent with our previous guidance. Expected pro forma earnings per share is approximately $8.15 compared to our previous guidance of $8. This concludes our formal remarks. Bella, can you please open the line for Q&A?
Operator: [Operator Instructions] Your first question comes from the line of Joseph Cardoso with JPMorgan.
Joseph Cardoso: Maybe, Cliff, I just wanted to start off with, if we could dig into the downward revision to the Outdoor guidance. It looks like the revenue outlook is coming down roughly 10% here in the back half. I was just curious if you could share any additional color on the main drivers behind the deviation from your outlook 90 days ago. I know you touched on the fenix 8 versus Pro dynamic, but any other areas of the portfolio you're seeing sluggishness relative to your earlier expectations? And then I have a follow-up.
Clifton Pemble: Yes. I think our remarks pretty much cover our thinking there. The fenix 8 Pro did launch fairly late in Q3, so it didn't have a lot of time to make an impact. And the results from the fenix 8 release last year were incredibly strong. And so I think that those are all factors as we look at the back half of the year that we're thinking that maybe our expectations were a little bit too high to begin with. But if you look at the long term over several of these major launches like the fenix 7 to fenix 8 and now to fenix 8 Pro, the overall growth of our watch category has been strong double digits and also ahead of the market. And so we feel like in the long-term view that these devices in the Outdoor segment in general has been a remarkable performer.
Joseph Cardoso: Got it. And then maybe just switching gears a little bit here. When I look at the implied gross margin guide for 4Q, it appears you're embedding a seasonal step down. However, when we look at the historicals, it's not at the same magnitude that we've seen Garmin produce over a multiyear period, maybe more in line with recent trends. Can we just touch on the drivers behind that? Like what we're seeing in terms of driving a less seasonal decline related to mix? Less aggressive promotions? Is it more on the production side around utilization? Just curious any color you can share there? And then maybe just a quick clarification. Are you -- what are you guys assuming in the guide relative to FX headwinds and then potentially tariffs, if any, that are included in the guide?
Douglas Boessen: Yes. This is Doug. Let me kind of give -- start out with the gross margin maybe first of all, the year-over-year on Q3. That is lower due to higher product costs. Part of that is relating to tariffs. Another thing relates to a strengthening of the Taiwan dollar, which does impact our cost of goods sold, as well as Cliff mentioned, there's warranty accruals like the prior year period sales. And that's partially offset by some favorable FX on sales due to the weakening U.S. dollar. And as it relates to Q4, if I look at the change basically from last year, this year in Q3, it's about the same change in Q4 there because we do have some of those higher product costs in there that we had to take into consideration. Now we also do have to remember that Q4 versus Q3, Q4 is a more promotional period of time for us, so we did factor that in. As it relates to some of our assumptions that are in there, as it relates to tariffs, we're factoring what the current tariff rates are out there. We are mitigating that due to certain things such as our higher levels of inventory to offset any potential increases in that. And also as it relates to FX, we did have -- as it relates to the top line, there are some tailwinds there from that standpoint. So we're factoring in similar type of trends in Q4 as we saw in Q3 from that standpoint. So in Q4, we think it's pretty well consistent with some of the trends that we're currently seeing there with tariffs, with FX, and then Taiwan dollar after consideration as well as the euro and those type of things in there. But as you mentioned, there are a lot of moving parts in gross margin, but we've factored most of those -- all those in that we did know about.
Operator: Your next question comes from the line of Erik Woodring with Morgan Stanley.
Erik Woodring: Cliff, maybe just to start, I'd love if we could maybe take a step back and for you to help us understand where exactly you think we are in the kind of cycle for Fitness and Outdoor? Obviously, a little bit different dynamics for each business, but obviously, really strong performance for multiple years on the back of new product launches and pricing increases. So where do we stand kind of in the cycle for each business? And then I have a follow-up, please.
Clifton Pemble: I think we look at it as an ongoing opportunity and not necessarily as a cycle as in ups and downs, but we are a small but growing market share player in the overall wearables market. We have a very broad and strong product line about -- across both fitness as well as adventure watches. We see the opportunity to continue to grow with market share gains and innovation in our product lines.
Erik Woodring: Okay. I appreciate that color. And then, Doug, if I could just turn over to you, maybe not necessarily core to any debates, but over the last 3 years, you've kind of guided CapEx up in the $300 million-plus range. And each year, it's kind of ended up lower than that. Just curious, again, kind of where you -- are you not able to find the dollars to spend? Or are there limitations to what you're just able to manufacture and that continues to get pushed out? Would just love a little color about kind of why spending plans are just a little bit lower than you had expected, just a bit of a continuation of '23 and '24.
Douglas Boessen: Yes. Regarding cap expenditure, it's not an item where we don't have the money to spend. We do have $3.9 billion of cash from a standpoint. So it relates to CapEx, those estimates are done at the early part of the year, and we progress those throughout the year. And we have plans for those and sometimes some of those is pushed out. So it's simply a situation that we have expectations for those, just for one reason or the other, things just get pushed out. A lot of -- I should say a lot of those CapEx we have are really infrastructure to grow our business, for manufacturing, those type of things. And so it's just a situation where we come with that estimate and things just change during the year along the way and just kind of push those out. But but we're not taking anything off the table from a standpoint of CapEx. We still think we need to have that infrastructure for growth in the future.
Operator: Your next question comes from the line of Tim Long with Barclays.
Timothy Long: Two, if I could as well. First one, could you just touch on kind of channel inventory, what you're seeing there? I think you alluded to inventory related to tariffs a little bit earlier, but particularly in the Fitness and Outdoor segments, how you think the health of the channel inventory looks? And then second, just looking at the number, it looks like there was a little bit of a downtick in the Americas business in the quarter. Could you just touch on what drove that? And do you think there's -- that's a short-term blip or what could get that moving back growing sequentially?
Clifton Pemble: Yes, Tim, I think that we view channel inventory as being healthy at this stage. The registrations and sell-out of our products has been stronger than the sell-in in recent, near-term weeks and months, and I think that's retailers positioning, getting ready to take things in for Q4. But the channel inventory looks very healthy and lean and ready for a good Q4 fill. There's really not a relationship between what we said about inventory and tariffs and channel inventory. When we talk about our inventory and bringing that in ahead of tariff impacts, that's inventory that we hold on our books, whereas the channel is a different consideration. We view the channel as being very lean. As far as Americas, I think the difference there is that some of the other regions did benefit from FX. So if you adjust for that, they tend to be very comparable.
Timothy Long: Okay. So I was just asking about the sequential downtick in Americas. Is that mostly FX? Or was there something else going on there?
Clifton Pemble: Yes. Again, I wouldn't read a lot into that. I think some of that, again, is associated with our product cycles as well as currency movements and all kinds of things. So it's -- there's a lot that goes into that. But I think in general, we're pleased with the performance of all of our geographies.
Operator: Your next question comes from the line of Jordan Lyonnais with Bank of America.
Jordan Lyonnais: I wanted to ask on autos. How should we think about the growth going into next year and until the BMW -- or sorry, the two 2027 contracts start up with new lines that are retiring?
Clifton Pemble: Yes. So going into next year, as we've communicated, we've been in the peak adoption of the BMW program for a while now, actually have anniversaried that. And as some of these end-of-life programs wind down, 2026 could experience some revenue pressure because of those natural dynamics. We expect the new program to come online towards the back half of 2026. And so we're on track for that, and we continue to make progress in delivering that.
Jordan Lyonnais: Got it. And on Aviation too, was there any greater driver of the growth that you saw between OEM and aftermarket that you could give more detail on?
Clifton Pemble: Yes. I think they're both very comparable, both very strong for different reasons. The backlog in OEM, as you know, is very long. And so aircraft makers are building to that backlog, and we're benefiting from that. And in the aftermarket, the consumer behavior was resilient and people buying and equipping their aircraft. And so the trends are very positive there.
Operator: Your next question comes from the line of David McGregor with Longbow Research.
Joseph Nolan: This is Joe Nolan on for David. The fitness business saw another great quarter. Just if you could talk about what's driving the growth there? I know advanced wearables have been strong in recent quarters. And if you could just give any update on new user growth?
Clifton Pemble: Yes. I think we saw growth across both kinds of products that we have in Fitness in terms of wearables that would be the running products as well as the advanced wellness products. And I would say that the registration behavior, the consumer behavior that we see on the registrations is very strong across the whole business, including all of our wearables in Outdoor and Fitness. The convincing majority of people coming to our platform are new users, and we're seeing strong double-digit growth in those registrations in new products year-over-year.
Joseph Nolan: Okay. Great. And then fourth quarter promotions typically step up a little bit for the holiday season. Is it fair to expect a pretty comparable promotional environment compared to last year? Is there any puts and takes to think about within that?
Clifton Pemble: I would say that -- I would call it comparable. We have a lot of products to offer, which is great for retailers because there's something for everyone. And so we have strong promotions planned. I'd say they're in line with what we've seen in previous years, and I think we're really excited about what we have to offer.
Operator: Your next question comes from the line of Ivan Feinseth with Tigress Financial Partners.
Ivan Feinseth: Congratulations on another record quarter and the great new cadence of -- a new product introduction cadence. On the launch of the Blaze, what kind of uptake have you been seeing so far? And what is your production run projection?
Clifton Pemble: Yes. I think Ivan, Blaze has been great. It's gotten a lot of attention. I think this is a market that is underserved in terms of technology. And at the same time, I think it's a market that's very traditional. So while it's gotten a lot of attention, it will take some time, I think, to build the channel and the momentum there. But we're excited about the early start. And I think we also have plans to enhance the roadmap and offer more products as well.
Ivan Feinseth: And what is kind of your target marketing strategy? And I mean, right now, one of the fastest-growing spectator sports is actually rodeos. So there's a lot of interest in horses and of course, traditional horse racing and horse training. So what's kind of your ideas for targeting -- penetrating the market?
Clifton Pemble: Well, I think there's certainly different disciplines around horses. I think if you look at the common threads of each discipline, it's that the horse owners and the caregivers really love the animal, and they want to do the right thing by the animal. And so again, there's been hardly any tools available for people to assess horses, whether it's on the purchasing side, on the selling side of that as well as the training and the ongoing performance improvement of the animal. So I think that lends itself to a lot of opportunities of tools that have been available to people that can be applied to horses going forward.
Ivan Feinseth: Then with the launch of the 8 Pro with the satellite inReach connectivity and also on the Bounce, are -- what is the percentage of people buying those that are signing up for the connectivity plans?
Clifton Pemble: Well, I think those two products are specifically designed with connectivity features, so anyone that buys those products is probably going to sign up for the additional services that go along with that, and that's exactly what we're seeing. It does target a unique user case. So if you look at Bounce for example, it's not just a watch for kids, it's a way for parents to monitor their kids and to communicate with them, especially for those that don't want to yet provide a smartphone to their kids. And so it just means that when you buy that product, you will absolutely sign up for the service that goes along with it.
Ivan Feinseth: And then with more and more products that you're launching, including inReach connectivity and also more people are signing up for the Messenger. What is kind of your vision for how inReach and the Messenger kind of grows the Garmin ecosystem?
Clifton Pemble: Well, inReach and Messenger and our connected products have all been part of our strategy to offer off the grid communication and especially rescue services for people who are enjoying the outdoors. Things happen out there and consequently having the right equipment and having equipment that works, that connects to real people that can help you has been a unique differentiator for us. So we'll continue to work on products that fulfill that vision and continue to expand our product line.
Ivan Feinseth: Good luck for a strong year-end finish.
Operator: Your next question comes from the line of Ben Bollin with Cleveland Research.
Benjamin Bollin: Cliff, could you talk a little bit about what you're seeing with respect to Auto on the accrued incremental warranty costs that you're seeing? And then any thoughts on where that Auto OEM margin structure looks over time? And then I have a follow-up.
Clifton Pemble: Yes. I think the accrued warranty was an isolated situation where an issue arose in our product that we had to manage, and it did affect prior period sales. So there was a catch-up that went on with that, but that's been addressed and corrected. And I think the longer-term view on the margin structure is the same as what we've communicated before, where we're targeting mid- to upper teens gross margin and mid-single-digit operating margin in the segment when we're at scale.
Benjamin Bollin: Okay. And then the other question, with respect to the broader component supply environment, I'm interested if you're seeing any scenarios or situations arise. Notably, advanced process nodes where any availability issues, you feel good on your ability to source memory, components into the out year given kind of the radical demand you're seeing from hyperscale and what they're buying? Any thoughts there.
Clifton Pemble: I think there's definitely some impact you're seeing in the overall semiconductor market associated with these large-scale new initiatives that are going on with AI and data centers and that kind of thing. I think it overall will benefit customers and us in the longer term because semiconductor providers are focusing on more higher performance processors on more dense memory configurations which overall are a benefit to the products going forward with better features, more storage, more capability.
Operator: Your last question comes from the line of Noah Zatzkin with KeyBanc Capital Markets.
Noah Zatzkin: I guess maybe just on the Marine segment and the raised guidance there, is that purely idiosyncratic? Or is there something in the end market that you see kind of improving underneath that?
Clifton Pemble: Yes, I think the end market is definitely stabilized, if not really even back on an uptick, especially when you look at aftermarket. And so the market dynamic is good at this moment. Consumers seem resilient and interested in the products that we're offering. And there's also an element of market share gains in that, particularly in chartplotters, trolling motors, audio and cartography.
Noah Zatzkin: Great. And apologies if you touched on this, but just any thoughts around -- updated thoughts around tariffs would be great.
Clifton Pemble: I think as we mentioned in our remarks, the tariff situation has been mostly stable for today's definition of stable. There can always be changes. But I think in general, we're managing through that. I think we've made all of the short-term adjustments that we had intended to make to our business model. And then going forward, we're focused on longer-term optimizations in our business, which is what we do as the normal course with tariffs or any other matter, we simply are always working to achieve the most efficient supply chain structure.
Operator: That concludes our Q&A session. I will now turn the call back over to Teri Seck, Director of Investor Relations, for closing remarks.
Teri Seck: Thank you all for joining us today. We are available for callbacks, and we hope you have a great day. Bye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect. Everyone, have a great day.